Operator: Please standby. Good day, everyone. And welcome to the Universal Display Corporation Second Quarter 2012 Earnings Conference Call. Today’s conference is being recorded. At this time for opening remarks, I’d like to turn the conference over to Mr. Joe Hassett, Investor Relations. Please go ahead.
Joe Hassett: Thank you, and good afternoon, everyone. With us today are Steve Abramson, President and Chief Executive Officer; and Sid Rosenblatt, Executive Vice President and Chief Financial Officer of Universal Display Corporation. Let me begin today by reminding you that this call is the property of Universal Display. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display’s website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, August 8, 2012. All statements in this call that are not historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include, but are not limited to, statements regarding Universal Display’s beliefs, expectations, hopes or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display’s actual results to differ from those projected. These risks and uncertainties are discussed in the company’s periodic reports filed with the SEC. Universal Display disclaims any obligation to update any of these statements. Now, I’d like to turn the call over to Steve Abramson, President and CEO of Universal Display. Steve?
Steve Abramson: Thank you, Joe. And welcome to everyone listening today. We reported record results for the second and the first half of 2012. Our revenues more than doubled over last year and we are in $0.23 per share in the second quarter. Sid will go through the detail shortly. We also recently concluded two important strategic partnerships that will help position us strongly for future growth. We purchased Fujifilm world OLED patent portfolio of over 1,200 patents and application for $105 million. This acquisition strengthen our position in both of our core businesses, OLED technology licensing and OLED material sales. Fujifilm has had strong research team working in OLEDs for more than a decade. This acquisition will expand, broaden and deepen our patent portfolio. Their strong benefit for both our patent licensing business and our material supply business. Since over 90% of their portfolio is less than 10 years old, most extend beyond the exploration of our fundamental FOLED patent at the end of this decade. Helping sustaining grow our patent licensing business. About half of the patents are issued and about half of them are pending. About 50% of their portfolio relates to device architecture, covering many important aspects of OLED devices. Such as how they can be build to ensure high efficiency and long life time. These are patents that we license to display lighting manufacturers. The other half of their portfolio covers numerous OLED materials. It covers many broad classes of host and transport materials enabling us to expand their material supply business. It also include many classes of phosphorescent emitters, particularly pertaining to the use of iridium and platinum molecule. The addition of this portfolio will give us additional design freedom as we develop the next-generation of red, green, yellow and blue material systems and technologies. About 25% of their patents were in the U.S. and about 45% of their patents are filed in Japan. So as a collateral benefit of this acquisition, we have bolstered our patent position in Japan regardless of the final decision in the pending and validation precedings. Second key partnership was a $4 million investment and a new three-year joint development agreement with Plextronics, a company with which we have been working for eight years. This partnership is focused on accelerating our material technology for injet and other solution-based OLED printing manufacturing system. Plextronics works in materials complementary to our emissive layer technology. They work in hole injection and hole transport materials. The combination should provide a more complete solution, more quickly to display and lighting manufacturers who are interested in solution-based printing manufacturing processes. Back to the present, there’ve been no slowdown in the pace of which the market for our product and technology continues to expand. DisplaySearch recently reported that the global AMOLED market grew a substantial 93% in the second quarter and its now over 20% of the smaller mid-sized display market compared to just 11% a year ago. The latest projection are for AMOLED market revenues of $5.93 billion in 2012. Smartphones remained a dominate OLED application, oled-info.com recently reported that 261 million OLED smartphones are expected to be shipped in 2013, a 48% compared to 176 million units expected to be produce this year. Samsung continues to dominate the OLED market and Samsung Galaxy S3 is the number one selling phone in the world. With over 10 million sold to date, Samsung has extended their lead over Apple in the share of the smartphone market. Reports from ET News suggest that Samsung recently achieved a development result of 350 [dots] per inch for their OLED display using a Fine Metal Mask, a higher resolution in the retina display. A 350 ppi is implemented in commercial production Samsung will be able to use an exciting proven cost effective technology to manufacture OLED displays with the highest resolution in the industry. According to a number of recent analyst reports, we will be the supplier of choice for green phosphorescent emitter material at Samsung and the transition to OLED devices from a florescent to a phosphorescent green. The same report also indicate that we will be a provider of green host materials to Samsung which will be use in conjunction with our green emitter material. According to these reports adoption of our green emitter and host material will be coincident with the rollout of Samsung’s new product into which phosphorescent green has been designed. We cannot predict when or if this will occur, although we have been building inventory. On OLED TV front, our Samsung and LG expect to have their TVs out in time for the winter holiday season according to the U.S. day-to-day online report. We are working very hard and very closely with both companies on their OLED TVs. We continue to be cautious in our expectation regarding the timing of meaningful OLED television revenues. But consider the comments of DisplayMate Founder and CEO, Raymond Soneira describes LG’s OLED TV “as the most impressive TV ever seen” according to reports in oled-info.com. That’s why we are confident that over the long-term OLED will represent the next big thing in television. In Taiwan, AUO and Chimei Innolux, two of our industry partners are continuing to accelerate their efforts to manufacture commercial OLED display. As most of you know, we have been working with both companies for quite some time and are strongly supporting their commercialization efforts. We also believe that our great OLED growth opportunities in flexible display. According to oled-info.com the OLED Association is reporting that Samsung could be introducing products using flexible displays into the market as early as the end of this year. We are supporting the development of flexible displays, most recently with the demonstration at SID of a single-layer barrier film prototype that among other that just may enable the design of bezel-less displays increasing the active area. We also recently announced along with L-3 Display Systems that we delivered a novel touch functionality, unbreakable, full-color, phosphorescent knee-mounted OLED display system for the U.S. Air Force. By using a fully display, build of classic substrate, paper maps can be replaced with an flight bag system that is ejection-safe. And SID in June, we also announced the series of what we believe to be record advancements in flexible white OLED lighting technology. These white OLED lighting panels are built on plastic substrates, using a single-layer barrier technology and highly efficient OLED technology and material. We are working with about dozen companies and like. For example, Lumiotec, a Japanese OLED lighting manufacturer announced that this month, they are preparing to launch a new series of lighting panels with the brightness efficiency of 28 lumens per watt according to DigiTimes. In addition, a recent OLED info article reported that Toshiba has released prototype lighting panels that operate as a very efficient 91 lumens per watt, which they are hoping to start selling in early 2015. To further solidify our management team, we recently hired Mauro Premutico, as Vice President, Legal and General Manger of Patents and licensing. Mauro brings to us tremendous patenting and licensing knowledge and experience, including having most recently served as Managing Vice President and Chief Patent Counsel at the Walt Disney Company. Morrow will manage our portfolio of over 27, 000 patents, including the recently purchase Fujifilm patents and play integral role in developing and implementing our intellectual property strategy. It’s been a very busy and productive time and is rewarding to see our efforts produced record results now and also build for future growth. With that, I will turn the call over to Sid.
Sid Rosenblatt: Thank you, Steve and again thank you every one for joining our call today. Revenues for the second quarter of 2012 were $30 million, up 167% compared to $11 million –$11.3 million in the second quarter of 2011. Results in the second quarter of 2012 include the recognition of $15 million of revenue under license agreement with Samsung Display Corporation, under with Samsung it’s obligated to make payments to the company in each of the second and fourth quarter of this year. There is no similar license revenues in the year ago quarter. However, we did record $1.8 million of Samsung royalty revenue in last year’s second quarter. In the second quarter of 2012, revenues from metrials sales were up 92% to $12.8 million compared to $6.7 million for the second quarter of 2011. Growing in line with the OLED industry, material sales include the sale of red, green, yellow and light blue phosphorescent emitters as well as host materials. The number of customers purchasing OLED materials in the second quarter increased by, approximately 40% from the second quarter of 2011. Sales of emitter material comprised 85% of total materials sales for the three months ended June 30, 2012, compared to 71% for the three months ended June 30, 2011. In the second quarter, red phosphorescent emitter sales to our largest customers on the commercial agreement nearly doubled compared to last year. Green emitter sales in the quarter were about the same as the first quarter of this year. Although, sales of host materials in the second quarter were sequentially higher than in the first quarter of this year, both green emitter and host material sales in the second quarter of this year were less than the third quarter of 2011. We believe the slowdown is temporary in sales of green phosphorescent emitters and host materials will increase. Revenues from outside of North America represented 96% of our total revenues for the second quarter, of which 82% was from South Korea and 14% from Japan. In the year ago quarter, 87% of our revenue was from outside North America, of which 71% was from South Korea and 26% was from Japan. Cost of materials increased to $1.6 million in the quarter, compared to $142,000 in the second quarter a year ago, due to increased material sales and increased cost of manufacturing materials. R&D expenses increased to $7.2 million in the quarter from $5.6 million in the quarter a year ago. The increase is attributable to an increase in outsourced R&D expense where we are using specialty chemical companies to help us accelerate the development of new materials and increased employee costs, which reflect an increase in retirement benefits and stock-based compensations. These higher employee expenses are essentially non-cash and non-discretionary. The increase in royalty and licensed fees reflect the higher payments to our University partners, coincident with the increased revenue. Selling, general and administrative expenses were up 15% in the quarter to $5.2 million, again primarily due to increased employee costs. Operating income for the second quarter of 2012 was $12.9 million, up nearly $14 million from more than a $1 million operating loss recorded in the second quarter of last year. The Samsung license revenue incurs a 16.5% withholding tax payable to South Korea, which is included in income tax expense. For the second quarter, we reported net income of $11 million or $0.23 per share, a significant improvement from net income of $3.3 million or $0.07 per basic share and a loss of $0.03 per diluted share in the second quarter of 2011. The results of year ago quarter were aided by a $4.5 million gain on stock warrant liability. Looking at the year-to-date results, revenues were $42.6 million, a 104% increase from the first half of 2011, with material sales up 108% from a year ago to $23.4 million in the first half of this year. For the first half of this year, R&D expenses increased to $13.9 million from $12.1 million. The rate of growth in R&D is higher due to our accelerating the new material development both internally and externally. SG&A expenses over the first half of this year increased to $9.5 million from $8.4 million last year, which is a 13% increase. The rate of growth in SG&A is in line with last year’s actual expenses. Operating income in the first half of 2012 was $11.4 million or $0.27 -- 27% of revenue and up from an operating loss of $3.8 million in the first half of last year. For the first half of 2012, we reported net income of $9.7 million or $0.20 per diluted share, again, very significant improvement, from a net loss of $8.6 million, or $0.20 loss per diluted share in the same period last year. In anticipation of what we expect to be increased material sales in the second half of the year, we increased our material inventory to $8.6 million at June 30, 2012 from $3.8 million at December 31, 2012. We have been building inventory of our red, green emitters and host materials in order to meet, what we believe will be an accelerating demand for our OLED materials. Our balance sheet remains strong with cash, cash equivalents and short-term investments of approximately $3.0 million -- $350 million as of June 30th. For the second quarter, cash -- cash provided by operating activities was approximately $11.2 million, compared to $223 million for the same period in 2011. For the first half of the year, operations generated cash of $9.2 million, compared to $1.8 million for the first half of 2011. Subsequent to quarter end, we used cash of $109 million to purchase Fujifilm’s patent portfolio of approximately 1,255 OLED patents and patent applications, and a $4 million investment in Flextronics. The Fujifilm patent acquisition will increase our amortization expense as we move forward. Historically, we have amortized these types of acquisitions over 10 years. We have been providing some revenue guidance in an effort to increase our transparency. With the qualification noted in today's press release, we continue to see our revenues for 2012 as being in the range of $90 million to $110 million. Quarterly results will vary particularly in light of the timing of payments with our new agreement with Samsung. With that, we’d be happy to take your questions. Operator, could you please provide instructions and questions for this portion of the call?
Operator: Certainly. (Operator Instructions) And we'll go first to Andrew Abrams with Avian Securities.
Andrew Abrams – Avian Securities: Guys, could you go into a little more detail in terms of the breakdown on material sales? Perhaps how much red, how much green, how much host material?
Sid Rosenblatt: I can give you a little more of a breakdown. Our commercial material was -- our material sales was approximately $8 million, development was $4.8 million to give you $12.8 million and host materials were approximately $1.8 million and red emitter sales was approximately $7 million.
Andrew Abrams – Avian Securities: Got it. And I know you gave, Steve gave kind of a good overview of the Fuji patent issues. Can you further detail any of that, particularly the material patents and how they layout in terms of the definition of materials used in those patents relative to the Thompson patents?
Steve Abramson: Not quite sure I understand your question, Andy. Let me see if I can help you. On the emitter side, the patents that they have are dominated by our fundamental patents, that was your question. The host and transport layer patents, because those materials are the dominating patent that is completely additive to our patent portfolio. What the Fuji portfolio does, it gives us a lot more design space with a lot more families of molecules in the emitter area, as well as additional material systems for holes and transporters. Does that answer your question?
Andrew Abrams – Avian Securities: That was right. And just lastly, what was the makeup of the inventory increase? Is this standard red and green? I shouldn’t say standard green, but standard red and green or were there other things in there that you're building up for the second half?
Sid Rosenblatt: These are our materials that we saw commercially. So it is red, green and host materials.
Operator: We’ll take our next question from Jim Ricchiuti with Needham & Company. 
Jim Ricchiuti – Needham & Company: Hello. Thank you. I was wondering if you can comment on whether this -- the Fuji, the acquisition of the Fuji patent portfolio in anyway affects the existing agreement with Samsung? Do you have any plans to amend that at all?
Steve Abramson: No.
Sid Rosenblatt: It doesn’t impact. It doesn’t impact us.
Jim Ricchiuti – Needham & Company: And, is there, anyway you can give us a sense as to what the timing around any kind of revenue potential prudent for these patents that you’ve acquired? In other words, was Fuji seeing any kind of royalty, any license payments around this?
Steve Abramson: We are really viewing this patent portfolio building for the future.
Jim Ricchiuti – Needham & Company: And would you anticipate any expense associated with this patent portfolio, whether it's in the form of increased R&D or in the form of any kind of increased royalty or patent costs?
Steve Abramson: Well, we have increased patent cost because half of the patents are applications and so we have to continue prosecuting those patents. We would have additional annuities that we would need to pay for the patents. The R&D group is -- we are continuing with our standard rep on R&D.
Operator: We’ll take our next question from Brian Lee with Goldman Sachs.
Brian Lee – Goldman Sachs: Hey, guys. Thanks for taking the question. I had a couple. First, I wanted to better understand what’s the lead time for manufacturing and shipping green materials?
Sid Rosenblatt: The lead time -- we literally ship materials within 24 hours of receiving a PO. The lead time for manufacturing depends on the back size. It depends, there are a number of long lead items, but it is not years, its months. And we have a really good handle on that and we are ready if and when the ramp starts to pickup, we are ready for that.
Brian Lee – Goldman Sachs: Okay. Because I guess I’m just starting to read…
Sid Rosenblatt: And the manufacturers are already also, the people…
Brian Lee – Goldman Sachs: Okay. Great. Okay. Thanks. I guess, what I’m trying to reconcile is just, you guys are building inventory at the same time, I can appreciate the sensitivity around your largest customer and what they want, you said in a public forum and not said? But it seems to imply that if the lead times aren’t that long for manufacturing and ultimately shipping these materials, you wouldn't necessarily have to build this inventory, unless you really had get visibility. And so I get some time to reconcile why build inventory on what is a short lead time material unless you really have good visibility into what potential ramp could be here within the next couple quarters?
Steve Abramson: We do have to manage our manufacturing process. So we do build inventory and we try to use dedicated equipment. So we will build one color then another color and then post material. We will not do these simultaneously. So we do try to manage how we are building the inventory, what it is we think we will need and as we said we are building our inventory for expected accelerated sales of material system.
Brian Lee – Goldman Sachs: Okay. Great. I appreciate the color. Maybe one last one and I will hop off. Related to that I am just wondering how are you thinking about your manufacturing strategy you’ve talked about this in the past, do you have any updated views around how your manufacturing strategy will evolve and the potential timing for that as you grow beyond the emitter opportunity in materials? Thanks.
Steve Abramson: We are continuing to talk internally about that strategy so Brian at this point we have nothing more to share.
Operator: We’ll go next to Carter Shoop with Keybanc.
Carter Shoop – Keybanc: Good afternoon. Thanks for taking my questions. First on Fuji acquisition, can we just maybe crystalize the fast on the impeachment Fuji in 3Q and 4Q both regards to revenue OpEx in amortization?
Sid Rosenblatt: As I said we don’t expect to see revenue immediately come that this is part of our long-term strategy in terms of amortization and expenses. As we said, we amortized historically when we acquired IP over a 10-year period. So this would be $105 million plus some expenses divided by $10 million. So it will be $10 million to $11 million on an annual basis. For six months, it will be little bit over $5 million. In amortization expense and the dollar amount increase patent cost. I don’t really have an estimate for that. I don’t think it’s a significant number for the next couple of months.
Carter Shoop – Keybanc: Okay. Great. One house-keeping question. Thanks for providing the number of our red emitter in the second quarter, can you tell us what that was in the first quarter of 2012?
Sid Rosenblatt: For the first quarter, I can give you the first half of red emitter sales and for the first half it was $12 million. And for the second quarter $6.7 million, so it will be that far.
Operator: We’ll go next to John Bright with Avondale Partners.
John Bright – Avondale Partners: Thanks, Steve. You mentioned in your prepared remarks the 45% of the Fuji patent were based in Japan that the litigation in Japan play a meaningful part in buying these patents?
Steve Abramson: That really wasn’t our primary focus, selling more of collateral benefit.
John Bright – Avondale Partners: Okay.
Steve Abramson: The primary focus was really to acquire a very significant patent portfolio in the OLED space in which there are very few. So we can continue to expand our lead.
John Bright – Avondale Partners: Got it. Sid, two question I have for you. One, with half year in the bank for the results, OpEx is what it is 10% to 15% is what you talked about for OpEx growth. Do you think we are going to towards the high end of that with a half year behind us?
Sid Rosenblatt: I do think that and look at for -- if you look at the total operating expenses for 2011, I think the 10% to 15% for the year will be the right number for R&D. I think the SG&A number will not be as high.
John Bright – Avondale Partners: Okay.
Sid Rosenblatt: If you just look at the total for 2011.
John Bright – Avondale Partners: Okay. And the other question I have for you was, also in the prepared text, you talked about green in Samsung and you also talked about emitter and host and you talked about the potential for the LG and Samsung TV rollout how much of that is built into guidance for 2012?
Sid Rosenblatt: We really haven’t talked about what’s in our guidance. I mean clearly we’ve got a range and the range would include -- we have assume that the higher end assume increase revenue from green and host material that was our estimate at the beginning of the year. And we still are very comfortable with those estimates. As we said it just difficult for us to predict when things will occur even though it’s going to reported by number of different sources that are green emitter and our green host material are going to be in. Samsung, question is how quickly it ramps up and how -- when it starts and then once it starts how quickly ramps up. And there are things that we really are just not comfortable talking about at this point.
Operator: We’ll go next to Rob Stone with Cowen And Company.
Rob Stone – Cowen And Company: Hi, guys. I wanted to focus on the point you made about the increase in the number of customers to whom you are selling material can you comment maybe on which vertical that coming from display versus sliding what slice of the material portfolio, what’s driving the growth? Thanks.
Steve Abramson: It’s across the Board. I mean it is some lighting companies and display companies. I mean the number of customers did increase some of them are larger than others feel that major customers that we have are the one that we talked about that are today. It’s the major customers clearly are Samsung and we’ve got LG, AUO, and Chimei. Other than that we talked about a number of who signed (inaudible) lighting agreements and each of those guys back small quantities of material because it is really early stage and a number of other companies. So we will probably, I think its 50-50. I don’t have the exact customers in front of me.
Rob Stone – Cowen And Company: Okay. Is it fair to conclude from this that the leadership position being taken by the likes of Samsung and LG is maybe causing other players to feel they’ve got get going and catch up?
Steve Abramson: We believe that to be the case.
Operator: We’ll go next to Darice Liu with National Securities.
Darice Liu – National Securities: Good afternoon. Just a couple of questions on the material side. Starting off with green, can you provide update on the non-Samsung customers using your green and whether or not these customers are utilizing the green host?
Steve Abramson: I think we don’t really specifically go to customer-by-customer. I do know we’ve talked about our host material working with our green material and our yellow material which is used for white OLED. So I mean that pretty much as where our host material are being sold with those two customers.
Darice Liu – National Securities: Well, I guess nothing more about the green material. Two or three quarters ago you mentioned at least 10 companies who are evaluating green. Just wondering whether or not we are seeing these customers moving from a valuation to commercialization outside of Samsung?
Steve Abramson: Right now, it’s still evaluation.
Sid Rosenblatt: A lot of those related customers are there and they are still moving through the prototyping process.
Operator: We’ll go next to Jon Dorsheimer with Canaccord.
Jon Dorsheimer – Canaccord: Hi. Thanks, guys for taking my question. I guess the first maybe just dig in little bit deeper on the materials Sid, looks like $4 million for yellow and green, any split between yellow and green or maybe just said differently what percentage I am assuming sort of the 90% range but…
Sid Rosenblatt: Probably 75% green, 25% yellow.
Jon Dorsheimer – Canaccord: Okay. And maybe one more question on that is the majority of that commercial or development?
Sid Rosenblatt: Well, there is really no commercial products using our green material in the marketplace. So it would mostly be development.
Operator: We’ll go next to Hendi Susanto with Gabelli & Company.
Hendi Susanto – Gabelli & Company: Hi. Good evening. Thank you for taking my questions. First question for flexible display material can display manufacturer’s use the same, I mean the materials that do you currently have?
Steve Abramson: Yeah.
Hendi Susanto – Gabelli & Company: Okay. And then would clarify with those Samsung license agreement will cover the new Fujifilm patents that are applicable on black and green emitter materials?
Steve Abramson: Yeah.
Operator: We’ll go next to Craig Irwin with Wedbush Securities.
Craig Irwin – Wedbush Securities: Evening gentlemen. Thanks for taking my question. Most of the things I would like to know, I already been asked but the big question there remains is can you update us on the overall status of development of our commercial blue and how far do you think you are for potentially launching a commercial product as far as blue host emitter?
Steve Abramson: Well, I stay up by saying with light blue, we are selling a full set of vast materials including light blue host and emitter to lighting companies. For deep blue, I would say probably a majority of our technical are blue. The majority of our technical team is focusing on that issue. And I cannot give you any specific timeframe on when that will be accomplish, we are however making some good progress.
Craig Irwin – Wedbush Securities: Okay. And then my follow-up question is can you share with us your overall level of priority as far as migration into other areas to OLED stack over the next couple of years. How do you prioritize that in your R&D budget and your patent licensing strategy out there?
Steve Abramson: It’s a good question. Priority right now is really to maintain our leadership in red, green and yellow to develop host materials there and to develop the blue material. One other thing we’ve seen with blue is that such a sensitive situation that every material in the stack is important, so we are looking to develop a blue part as a system.
Operator: We’ll go next to the Vishal Shah with Deutsche.
Vishal Shah – Deutsche: Yeah. Hi, thanks for taking my question. I just wanted to get a better understanding of what your customer engagement are right now in terms of…
Steve Abramson: We couldn’t hear what you said. Hello?
Vishal Shah – Deutsche: Can you hear me now?
Steve Abramson: Yeah. Yeah.
Vishal Shah – Deutsche: Okay. Yeah. I just wanted to understand of the customers -- the new customers that you have added for material sales. Have you been engaging with some of those customers for potential license agreement or even some of the existing customers and eventually what kind of timeframe are we looking at for additional license contract being announced?
Steve Abramson: For some of those new customers actually have license agreement in place and some of those customers who work on the material supply agreement. We really work under the two different types of agreement depending on what make sense to the customer, what make sense to us. So we have a number of license agreement with lighting companies who are frankly still in the development phase. But we are having some material supply agreement with display companies who are closer to the manufacturing deal.
Vishal Shah – Deutsche: Great. Just one follow-up question, I want to understand if your customers are really keen to change the dope into host concentration ratio and one of the implications of changing that, I mean, in terms of performance. Is that something that is constantly under development at their end and has that impacted your revenues in the near-term. Thank you.
Steve Abramson: Well, they are usually optimum doping ratio. And then the question becomes what’s good enough for product. And it’s a constant iteration in that circumstances.
Vishal Shah – Deutsche: Are your customer, the emitter materials are more expensive than other materials on a program basis and customers are doing everything that they normally would to make sure that they can get a product that meets the customer specs at the lower cost. So it is some thing that we know, all of our customers work on but we don’t expect to see significant changes in what we sell based upon that at this time.
Steve Abramson: It’s a gradual process.
Operator: We’ll go next to Jim Ricchiuti with Needham & Company.
Jim Ricchiuti – Needham & Company: Sid, can you give us the development revenue, material revenue in Q1. It was 4.8, I think you said in Q2?
Sid Rosenblatt: For Q1, it would have been about $3 million.
Jim Ricchiuti – Needham & Company: $3 million. And were the revenues in Q2 in that area concentrated with just one or two customers?
Sid Rosenblatt: That -- probably not because that’s really where as we said, we’ve had significant increase in a number of customers and that will be in a development and chemical area.
Operator: We’ll go next to Jagadish Iyer with Piper Jaffray.
Vasanth Mohan – Piper Jaffray: Hi. This is Vasanth Mohan for Jagadish and thank you taking my question. I have -- my first question is the guidance that you’ve given $90 million to $110 million. Can you give us what have baked into the high-end of guidance. Do you have additional customers, additional applications. Can you discuss that, you can have a positive or a negative supplies to this guidance range?
Sid Rosenblatt: As we said, just a little bit earlier, we have not really broken that down or discussed what is the components of the guidance or it’s based upon or estimate of when accelerated use of our green emitter and host materials will occur. As we stated that we are comfortable still with the range of $90 million to $110 million.
Vasanth Mohan – Piper Jaffray: And can you give us a ratio of emitter to host for the entire calendar year?
Sid Rosenblatt: As we said, we have not given guidance on the specific components of that. So I really can’t do that.
Operator: We’ll hear next from Rob Stone with Cowen and Company.
Rob Stone – Cowen and Company: Hi. I have another question related to doping concentration specifically in your continuing development work with customers on green emitter and host. Could you give us a sense of what kind of ratios, new filtrations you’re seeing for that material?
Sid Rosenblatt: The revenue but…
Steve Abramson: Unfortunately, at this point, Rob, we don’t disclose our doping concentrations.
Rob Stone – Cowen and Company: They’ve even put in a range.
Steve Abramson: No. That one really would influence you.
Sid Rosenblatt: A, it’s customer proprietary, if we do know it to, it is just -- they really can’t be all over the place.
Rob Stone – Cowen and Company: Okay. Thank you.
Operator: We’ll go next to Darice Liu with National Securities.
Darice Liu – National Securities: Just a follow-up on the material question. On yellow, outside of LGs anyone else looking to use yellow or are most folks using RGB in white and secondly, can you elaborate more on your commentary on the material COGS. I understand increase volumes affects the COGS. You also mentioned increased cost of manufacturing materials.
Sid Rosenblatt: On the yellow, Darice, we have customers -- we’ve multiple customers using two peak wave which should be yellow as three peak white which should be RGB. On a material, it really depends on materials that some materials depending on back sizes vary and depends on whether in this period, we’ve sold host material which historically cost more per gram. And so we don’t see a significant increase in the cost per gram of our emitters but we also account for them a little differently than we did in prior years where as we now categorize materials that we have scaled up to commercial manufacturing volume. That’s what we include in cost. And in the past, it was really just commercial materials based upon the customer’s usage.
Operator: We’ll go next to Carter Shoop with Keybanc.
Carter Shoop – Keybanc: Hi. In regards to inventory, one month to the quarter right now, what’s your view on inventory exiting the September quarter. Do you think that’s going to be down quarter-over-quarter or that continue to build?
Steve Abramson: I really can’t comment on where we are today. We’re really commenting on the second quarter at this time.
Carter Shoop – Keybanc: Great. And then can you confirm that LG was not a 10% customer in the quarter?
Steve Abramson: Yeah.
Carter Shoop – Keybanc: Great.
Operator: We’ll go next to Brian Lee with Goldman Sachs.
Brian Lee – Goldman Sachs: Hey guys, I just had another follow-up quickly on the inventory. How much of the incremental inventory build in the quarter was related to red versus green?
Sid Rosenblatt: I really can’t tell you what the components are.
Brian Lee – Goldman Sachs: I mean, is it heavily skewed toward one versus another or even that type of granularity you can’t share?
Sid Rosenblatt: It is probably not heavily skewed one towards the other. We want to make sure that we have enough of all of the inventory to meet the existing need as we move forward. So it’s not skewed one way or another way but clearly host would be higher volumes in terms of kilograms versus emitters but realistically it is what we think we will need as we move forward into this quarter and to next quarter.
Operator: We’ll go next to Hendi Susanto with Gabelli & Company.
Hendi Susanto – Gabelli & Company: Hi again. In the past, you have talked that the green emitter’s gross margin is similar to red. How about the gross margin of the yellow emitter relative to red and green?
Steve Abramson: It’s similar.
Hendi Susanto – Gabelli & Company: Similar.
Steve Abramson: The yellow is just a variation of green.
Hendi Susanto – Gabelli & Compan: Okay. Got it. Thank you.
Operator: We’ll go next to Brian Lee with Goldman Sachs.
Brian Lee – Goldman Sachs: Sorry, guys. I got cut off. I just had another follow-up on the inventory. Is there a way to think about quantifying what your inventory translates into in terms of potential revenue dollars. I’m assuming that your inventory is accounted for on a cost basis and we know to some degree what the COGS in gross margins for your materials are. So is there -- is that math that we can run to kind of gauge what is sitting in inventory in terms of potential revenue volume.
Sid Rosenblatt: You’re correct. Since you know what are historical margins are. You can apply that what -- we haven’t given you real information about how much of that is host versus emitter and there is clearly have different modules. But you are correct, I mean, if you make some assumptions, you can then determine how much of inventory which translates into, in terms of sales dollars.
Brian Lee – Goldman Sachs: All right. Thanks a lot.
Operator: And we’ll take our final question today from Carter Shoop with Keybanc.
Carter Shoop – Keybanc: Yeah. Sorry guys, one more question on the inventory side. As we think about the company, as its ramps have been servicing more customers, we’ve gone from essentially $0 in inventory in 2Q ‘11 to almost $9 million now. Is there that kind of a steady run rate on a, kind of inventory turn basis and that’s just to think about going forward with the company?
Steve Abramson: I think after another quarter or two, you may be able to determine that. Right now, what we’re doing is ensuring that we have on hand every thing that a customer that we believe the customers will need and we want to ensure that we never are at a position where we are not able to ship on a daily basis when we get a PO. So we will build inventory to -- as we look at it the best case scenario to ensure that we are never caught short. And there is clearly is some learning that we have to do as we go through the next year quarter as this market accelerates to ensure that we have it but we also don’t want to spend inventory dollars unnecessarily. So it is a balance that we’re going through and it’s something that will, it will change as the next few quarters come by.
Carter Shoop – Keybanc: Great. And is there any inventory obsolescence risk that we should be thinking about as the inventory build up a little bit here?
Sid Rosenblatt: I don’t believe. So the inventory that we have is the inventory that’s being used in products and that we’re selling.
Operator: And ladies and gentlemen, we’d like to thank you all for your participation today. That will conclude today’s conference call.